Operator: Thank you for standing by, this is the Chorus call conference operator and welcome to the Acadian Timber Corp conference call and webcast to present the company's 2015 second quarter results to its shareholders. As a reminder all participants are in a listen only mode and the conference is being recorded. [Operator Instructions] At this time I'd like to turn the conference over to Mr. Mark Bishop. Please go ahead Mr. Bishop.
Brian Banfill: Before we get started, I would like to remind everyone of the following. The conference is being webcast simultaneously through our website at acadiantimber.com, where you can also find a copy of the press release including the financial statements. Please note that in responding to questions and talking about our first quarter 2015 financial and operating performance, as well as our outlook for the remainder of 2015, we may make forward-looking statements. These statements are subject to known and unknown risks and future results may differ materially. For further information on known risk factors, I encourage you to review Acadian's annual information form dated March 24, 2015 and other filings of Acadian with securities regulatory authorities which are available on CEDAR at cedar.com and on our website. I will start by outlining the financial highlights for the second quarter, then Mark will provide comments about our operation, market conditions, business development activities and our outlook for the remainder of 2015. Acadian's operations performed very well again this quarter, generating the highest second quarter adjusted EBITDA since inception. While the second quarter also known as mud season in Acadian's operating area is typically our weakest, an extended winter allowed harvesting and hauling operations to continue well into April leading to above normal sales volumes. Net sales for the second quarter totaled $15.4 million, a $3.3 million or 28% increase compared to the same period in 2014. This year-over-year increase in net sales reflects a 20% increase in sales volumes and a 3% increase in the weighted average log selling price. Approximately one third of the sales volume increase is attributable to more volume carried over from the first quarter this year than last year under the log inventory management program with one of our major customers. Selling price improvement was spread across all of the log products produced by Acadian, with hardwood, pulpwood once again showing biggest gain. Combined with variable operating cost down 6% year-over-year this strong top-line performance resulted in adjusted EBITDA doubling year-over-year to $3.8 million. Adjusted EBITDA margin increased to 25% from 16% in the same period of last year. Net income totaled $5.7 million or $0.34 per share up $0.9 million or $0.06 per share from the prior year with the strong gains in EBITDA partially offset by a lower share value adjustment on timber due to the increased harvest level. Free cash flow was up $1.7 million from the second quarter of 2014 to $2.8 million or $0.17 per share pushing the first half payout ratio down to just 73% from a 104% for the same period last year. I will now briefly review the segmented results for Acadian's New Brunswick and Maine operations. Net sales from our New Brunswick operation for the second quarter totaled $13.1 million compared to $9.3 million for the same period last year. The weighted average log selling price was up 3% and sales volumes climbed 35%. As noted previously a portion of the sales volume increase reflects more volume carried over in inventory from the first quarter in relation to the inventory management program with one of our major customers. This volume made up approximately 25% of the sales volume increase and added approximately $0.6 million of adjusted EBITDA to the New Brunswick operations results compared to the prior year. The weighted average log selling price was $62.66 per cubic meter in the second quarter of 2015 up $1.55 per cubic meter from the same period last year. This year-over-year average price increase reflects gains in softwood sawlog and hardwood pulp prices offset by more softwood pulpwood in the sales mix. Costs for the second quarter of 2015 were $9.6 million up $2 million from the comparable quarter of 2014 with a 6% decrease in variable cost per unit more than offset by increased harvest volume. Second quarter adjusted EBITDA for the New Brunswick operation was $3.5 million, up $1.8 million from the same quarter, from the second quarter of 2014 again reflecting improved sales volume and pricing. Adjusted EBITDA margin increased to 27% from 18% in the prior year. The Maine operations didn't enjoy as good a operating weather as New Brunswick through the quarter with a very wet June slowing the start out from mud season. As a result sales volumes slipped 33% year-over-year but on the sales that did occur the Canadian dollar based log selling prices jumped 13%. Net sales for the second quarter of 2015 were down 18% year-over-year to $2.3 million from $2.7 million in Q2 of the prior year. The weighted average log selling price in Canadian dollar terms was CAD$76.98 per cubic meter in the second quarter, compared to $68.34 in the same period of 2014. Weighted average log selling prices in US dollar terms were almost unchanged year-over-year as improved product level prices were offset by a less favorable sales mix. As we've noted previously all of the foreign exchange driven good news on the top-line has a downside. Canadian dollar based variable cost per cubic meter increased 6% year-over-year in Canadian dollar terms effectively hiding the impressive 6% decrease in US dollar terms. Total costs for the second quarter fell $0.4 million year-over-year to 1.9 million due to lower harvest volumes. Adjusted EBITDA for the Maine operation was unchanged from the prior year at $0.4 million with lower sales fully offset by lower costs. The adjusted EBITDA margin climbed to 17% from 14% in the prior year. Switching over from the operations to our cash position, at the end of the second quarter Acadian had cash on hand totaling approximately $15.6 million which is $7.7 million higher than the cash balance at the same time last year. The primary driver of the increased cash balance was the generation of $7.3 million of free cash in excess of dividend payments over the last 12 months. The current cash balance is 2.9 million higher than the balance at the end of 2014 reflecting significant free cash in excess of dividend payments during the first half of 2015. As at June 28, 2015 Acadian had net liquidity of $86.9 million including funds available under Acadian's revolving facility and our standby equity commitment with Brookfield. The balance sheet remains strong leaving Acadian well positioned for the future. As noted in our press release we obtained a commitment letter in July from our existing lender, Metlife Timberland Finance to refinance the existing five year debt facilities set to mature in March 2016. The terms of this financing are more favorable than the current agreement reflecting the high credit quality of our assets and the all in interest rate fixed at 3.01% down from 3.97% currently will result in interest savings of approximately US$0.7 million per year. As well on July 20th the US$50 million standby equity commitment with Brookfield was extended for two years. During the quarter we distributed a dividend of $0.225 per share to our shareholders, a rate that is fully supported by our increasingly strong performance. I will now turn the call over to Mark.
Mark Bishop: Thank you, Brian. During the quarter Acadian's operations experienced two recordable incidents involving its employees and no recordable incidence among its contractors. I'm pleased to be able to confirm that none of the resulting injuries were serious, although one did result in a small amount of lost time. We continue to work with our contractors and employees to ensure the highest standards of workplace safety are maintained. We're also pleased to note that in early June, the New Brunswick operation successfully completed a surveillance audit, the 2015 to 19 Sustainable Forest Initiative Standard with no non conformances. The operation has been recommended for continuing registration to the SFI standard. As Brian noted Acadian's weighted average log selling price in the second quarter increased 3% year-over-year. Realized Canadian dollar prices improved for all log products with gains of 3% for softwood logs, 4% for hardwood logs, 2% for softwood pulplogs and 12% for hardwood pulplogs. While a big portion of the credit goes to the weaker Canadian dollar base currency gains were realized for all log products except for hardwood sawlogs in New Brunswick which were impacted by a mix change. While softwood pulplog prices have improved modestly year-over-year, this product remains our most challenging as the number of ground wood pulp customers operating in the region has declined over the last few years as you're all very familiar with. As we've noted many times in the past however this product makes up a small portion of our total sales 5% in the second quarter and even a smaller portion of our gross margin. Biomass gross margins continue to show strength jumping 55% year-over-year with the majority of the change coming from the New Brunswick operations where a larger portion of the volume is sold to the higher margin export markets than in the prior year. Acadian's financial outlook for 2015 remains positive. Lumber pricing weakened considerably to the first half of the second quarter reflecting a combination of increased production and difficult spring building conditions as well as weakness in export markets but improved through the latter half of the quarter. In Acadian's regional markets pricing for softwood sawlogs remained strong and stable throughout the quarter. Almost all regional mills continue to operate on full shifts and appear to be carrying inventories at or below seasonal practices. We expect softwood sawlog markets to remain positive throughout the summer with the potential for further improvement as lumber prices respond to potential log supply shortages in Western North America due to harvesting restrictions caused by severe fire conditions. In addition to our positive outlook for softwood sawlogs, markets for hardwood sawlogs are expected to remain positive while demand and pricing for hardwood pulpwood continues to be robust. Biomass markets have remained positive and we anticipate recent improved demands remain stable supporting improved margin levels. While this product makes a modest contribution to our operating results we believe there is an opportunity for improved margins over the next years as there are many indications of increasing demand and relatively tight supply. On the business development front we continue to actively pursue opportunities in support of Acadian's growth strategy, in the US, Australasia and South America. During the quarter we worked on several opportunities in each of these regions and we expect to see increases in Timberland's investment activity over the remainder of this year. Our goal continues to be building a balanced portfolio between current cash flow and capital appreciation with the ultimate focus being our long term total return target of 10 to 12%. Acadian shareholders can be confident that we will stay focused and disciplined in our search for growth. In closing we remain very pleased with Acadian's exceptionally strong operating performance over the past several quarters and look forward to reporting ongoing strong performance in the upcoming quarters. On behalf of the entire team I'd like to thank you for your continued support of Acadian. That concludes our formal remarks and we are available to take any questions from participants on the line. Operator?
Operator: Thank you, we will now begin the question and answer session, (Operator Instructions) the first question is from Daryl Swetlishoff with Raymond James, please go ahead.
Daryl Swetlishoff: Thanks, hey Mark, just a question about current inventories relative to historical levels for this time of year.
Mark Bishop: Are you talking customers' current inventories in their log yards or?
Daryl Swetlishoff: Yes, just how you're stacking up relative to [indiscernible], are we at normal levels or tighter.
Mark Bishop: We're at or perhaps even slightly below, I mean we're not certainly in a position where we see over, inventories that are over where they should be this time so I would really we're typical inventories for this time Daryl.
Daryl Swetlishoff: Okay and then what do you think today in your various regions about logging conditions.
Mark Bishop: In our regions, I mean, now we had a wet start to this quarter in New Brunswick you know that was a little bit slower to get started but certainly we're back on track and certainly where we should be for the quarter and really the same for Maine, so logging conditions are certainly fine we're certainly not seeing any issues like Western North America with fire conditions or any unusual weather at this time.
Daryl Swetlishoff: Okay and just on that Mark, you know it's encouraging to see log prices moving higher in your regions, what sort of impact, is there any follow on impact from the intense fire conditions out west, are you seeing any inflation because of that?
Mark Bishop: I wouldn't say we've seen anything yet Daryl and you know I would say it may be a remote possibility to see any direct impact I think the impact would really be if you saw shortages in the west that led to higher lumber prices than they would otherwise be, you might see a little bit of upside in our log prices but I don't think we're really expecting to see any direct immediate impact or certainly we're not seeing anything here now.
Daryl Swetlishoff: Okay. So in terms of the inflation you've seen other than that currency, is there any additional color on what you're seeing on why are prices moving higher in your regions right now, related to lumber prices or what?
Mark Bishop: You know markets in this region are really quite tight and certainly I mean we've seen as you've observed over the last couple of quarters hardwoods more than that, but hardwood pulp prices continue to be very strong and there is a tight market here and certainly hardwood pulp competes with OSP in this region as well. So it's quite a tight spot and then dynamic here and we're not suggesting we're going to see a significant continued growth in prices for the rest of this year, certainly we see strong and stable pricing and certainly continued expectations for the volume that we had planned for the remainder of the year.
Daryl Swetlishoff: Okay, well thanks Mark that sounds encouraging, I'll turn it over.
Operator: (Operator Instructions) The next question's from Paul Quinn with RBC Capital Markets, please go ahead.
Paul Quinn: Thanks, morning guys. Just had a question on, it sounds like your Q2 results were really benefit of good weather in the quarter, does that lift your sort of annual harvest targets for both New Brunswick and Maine and if so what would you expect to do this year.
Mark Bishop: I would say Paul we're pretty much expecting to come in, in and around the same level as we had expected. I mean some of that higher performance yes was weather related but it also was a shift in that log supply volume that swung into the second quarter. So we, we're really expecting to come in more or less on our planned volume.
Paul Quinn: And that planned volume, is that up significantly from last year?
Mark Bishop: No, it's very much in line from last year.
Paul Quinn: Okay and just on growth initiatives, I mean we've seen a pretty quiet North American timberland market, maybe you could give us some color on what's happening in South America and Australasia.
Mark Bishop: You're correct Paul, we've seen a fairly quiet first half in the US, in the second half we do expect to see little bit more activity, the first half was characterized by smaller and I guess in many cases lower quality sales and we do expect to some larger opportunities come on stream for the second half that we'll be looking at both in the US and in Australia. You're probably aware there's been a lot of talk for several years on the next potential state sale, we don't know what that timing might be, but New South Wales may be coming up and we're certainly interested in continuing to be looking at both opportunities there and in New Zealand. We don't see the second half of the year being as busy in New Zealand. Latin America continues to be very busy for us and both Latin America and the US I think you're aware that we really are focused on creating and generating proprietary investment opportunities and continue to have dialogue with several of our key targets and on that we've involved in proceeding through a number of promising opportunities both, but specifically in Brazil and we don't have anything to report at this time. We're encouraged by some of the progress and taking what we're seeing. Brazil, the dynamic in Brazil on particularly in the field, the sector is becoming more difficult but the pulp sector as you're probably aware continues to be very strong and quite an interesting dynamic, so. But Brazil's not the only opportunity we are continuing to look at some of the other Latin American countries particularly in the Uruguay area and less so in Chile but there's still some smaller opportunities that we remain interested in.
Paul Quinn: Okay, and just following up on Daryl's question, we've seen a lot of volatility in softwood lumber prices in North America, it seems like you're, you know that hasn't come back to you at all in terms of softwood log prices and again you're describing it as a dynamic in your area with very tight supplies, do you think that will [indiscernible], what's your expectation once your SLA expires in October.
Mark Bishop: You know our softwood sawlogs and an awful lot of that is through long term supply which remains much less volatile certainly than the broader market, but again we continue to see this market dynamic being quite stable. We do see a slow progression of lumber pricing and positive lumber pricing through the second half of the year and while we don't expect to see a significant amount of upside in sawlog pricing we certainly expect to see stability to slightly stronger pricing.
Paul Quinn: Okay and expectation of what happens with lumber prices on the expiry of the SLA and whether that affects you at all.
Mark Bishop: Whether it affects us, I wouldn't say there's any, going to be any real immediate impact to us Paul, I mean I guess I'm hoping at the same time that there's an expiry of the SLA that we've got much stronger indications of housing markets and that we do see some strength in lumber pricing but I wouldn't see a marked change in our log pricing in the fourth quarter as a result of that.
Paul Quinn: All right, great result from the quarter, good luck.
Operator: Next question's from Paul Tan with Credit Suisse, please go ahead.
Paul Tan: Hi thanks, just wanted to confirm in terms of the Brookfield equity [indiscernible]. You did mention that it was renewed for another two years, is that correct.
Mark Bishop: Yes, that's correct.
Paul Tan: And is the amount similar, is it the same as the 50 million, or has that changed.
Mark Bishop: Same amount and same term.
Paul Tan: Okay great, thank you very much, those are my questions.
Operator: This concludes the question and answer session, I'll turn the call over to Mr. Bishop for closing comments.
Mark Bishop: Thank you operator, and thank you all again for your ongoing support of Acadian, hope you all enjoy the remainder of your summer and look forward to speaking to you again at the end of next quarter. Thank you.
Operator: This concludes today's conference call, you may disconnect your lines, thank you for participating and have a pleasant day.